Operator: Good morning. My name is Michelle, and I will be your conference operator today. At this time, I would like to welcome everyone to the PotlatchDeltic Second Quarter 2019 Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. I would now like to turn the call over to Mr. Jerry Richards, Vice President and Chief Financial Officer, for opening remarks. Sir, you may proceed.
Jerry Richards: Thank you, Michelle, and good morning. Welcome to PotlatchDeltic's investor call and webcast covering our second quarter 2019 earnings. With me in the room are Mike Covey, Chairman and Chief Executive Officer; and Eric Cremers, President and Chief Operating Officer. This call will contain forward-looking statements. Please review the warning statements in our press release, on the presentation slides, and in our filings with the SEC, concerning the risks associated with these forward-looking statements. Also please note that a reconciliation of non-GAAP measures can be found on our website at www.potlatchdeltic.com. I'll now turn the call over to Mike for some comments and then I will cover our second quarter results and our outlook.
Mike Covey: Thanks, Jerry, and good morning, everyone. We generated adjusted EBITDDA of $49 million in the second quarter. This amount was almost 50% lower than the second quarter of 2018, reflective of the 35% decline in lumber prices in the last 12 months. Despite this, we still covered the dividend and our elevated pace of capital expenditures in our mills with cash generated by operations during the quarter. In timberlands, our harvest volumes were 23% lower in the quarter compared to a year ago. As discussed on last quarter's call, we shifted some of our Idaho volume to the second half of the year, because customers in the region entered the spring breakup period with higher than normal log inventors. Also wet weather continued to constrain operations in the South in the second quarter. Our annual harvest plan remains intact with the shift of deliveries into the second half of the year. The wet weather premium on Southern pine sawlogs has lasted longer than we expected. Second quarter pine sawlog prices in Arkansas were up $2 per ton or 4% quarter-over-quarter and were up $5 per ton or nearly 12% compared to the same period one year ago. As a reminder, because we consume slightly more logs in our three Southern Yellow Pine sawmills than we sell, the stronger log prices were offset by higher wood costs at our sawmills. Wood Products results did not meet our expectations; however, we remain optimistic about the outlook for this business. Progress continues on Wood Products elevated capital project plan. We have three major projects underway or that have been recently completed, which resulted in planned downtime at two Southern Yellow Pine sawmills in the second quarter. The projects include a new lumber auto grader, a new green lumber stacker and a complete replacement of five batch dry kilns with two new continuous dry kilns. The benefits of these projects will largely be at expansion of capacity and improved grade recovery. As a reminder, we plan to spend just under $40 million of capital in this segment in 2019. Real Estate had two large rural land sales transactions in the quarter. The first was 8,000 acres sold to a conservation organization that we discussed on last quarter's call and that represents the second takedown in a 5-year agreement. The second was the sale of almost 1,800 acres of former Deltic timberlands in Arkansas for $11,000 an acre. Overall, we've sold 4,200 acres for the Deltic Timberlands in little 16 months since the merger has been completed, averaging approximately $7,000 per acre. We continue to be excited about rural land sales opportunities on the legacy timberlands in Arkansas. Looking forward, we are encouraged by macroeconomic indicators and the general improvement in housing fundamentals. Although, housing has surprised us on the downside this year, new orders reported recently by homebuilders have increased meaningfully. In addition builder confidence remains strong, mortgage rates have returned to more affordable levels and housing vacancy rates are nearing all-time lows. On supply side, there have been a number of lumber capacity curtailment or closure announcements this year, representing about 2 billion board feet by some estimates. It is important to keep in mind that the full effect of these decisions on lumber shipments will not be felt until the fourth quarter of 2019. PotlatchDeltic is well positioned to benefit from the recovery in lumber prices. On another positive note, our business with the big-box retailers such as Home Depot, Lowes and Menards, which all support on repair and remodel segment, has increased relative to last year. Our balance sheet remains strong and provides the flexibility to grow shareholder value. We returned $79 million to shareholders in the first half of 2019. This includes the dividend plus $25 million to repurchase 686,000 shares of our stock at an average price of $37 per share. We have utilized one quarter of our current repurchase authorization. Our stock continues to trade at a significant discount to our net asset value in addition to yielding over 4%. As a result, opportunistic share repurchases remain more attractive in acquiring timberlands. I'll now turn it over to Jerry to discuss the quarter and our outlook and then we will take questions.
Jerry Richards: Thanks, Mike. Starting with page four of the slides, total adjusted EBITDDA was $49 million in the second quarter compared to $28.3 million in the first quarter. The sequential increase in EBITDDA is due primarily to two large real estate sales that closed in the second quarter, partially offset by an inventory impairment charge and higher costs in Wood Products. I'll now review each of our operating segments and provide more color on the second quarter results. Information for our Timberlands segment is displayed on slides 5 through7. The segment's adjusted EBITDDA was $26.1 million in the second quarter, essentially flat with first quarter's $26.9 million. We harvested 325,000 tons of sawlogs in the North in the second quarter. This is down seasonally from the 374,000 tons that we've harvested in the first quarter. Northern sawlog prices were 8% higher on a per ton basis in the second quarter compared to the first quarter. The price increase reflects the lagged effect of slightly higher first quarter lumber prices and the seasonal decrease in the density of logs. Turning to the South, we harvested 814,000 tons in the quarter, which was down slightly from the 828,000 tons that we harvested in the first quarter. Wet weather hampered operations resulting in harvest volumes falling over 100,000 tons short of our plan in the second quarter. We expect to make up the shortfall in second half of the year. Our Southern sawlog prices were 4% higher this quarter compared to the first quarter. This increase reflects a short-term weather-related premium due to a shortage of logs. We think the southern pine sawlog prices will revert to normal trading levels in the second half of 2019 once mills rebuild log inventories. The Wood Products segments, which is covered on slides 8 and 9, had negative adjusted EBITDDA of $2 million in the second quarter. Compared to the first quarter, lumber prices were slightly lower, cost increase on a per unit basis and the charge to write lumber inventories down to net realizable value was $6 million higher. Three of our sawmills took downtime during the quarter for planned maintenance and capital projects. Cash costs related to the maintenance and loss production both negatively affected per-unit manufacturing costs. We do not expect a similar drag on the segment's results in the third or fourth quarters. Consistent with of our timberlands comments, we expect log costs for our Southern mills to moderate in the second half of the year. Our lumber shipments increased 34 million board feet. This was less volume than we had planned to ship in the second quarter. Part of this shortfall was due to timing. We had an extra 7 million board feet of lumber that had been shifted at the end of the second quarter, but will be recorded as third quarter shipments, which is when the lumber arrived at customer locations. We also had some out of log time in our Southern mills and lost production to some other unplanned downturn. We expect to make up the shipping shortfall and still plan to ship approximately 1.1 billion board feet of lumber for the year. Turning to Real Estate on slides 10 and 11, the segment's adjusted EBITDDA was $31.3 million in the second quarter. As Mike mentioned, we closed on two large real sales in the quarter, including the sale of former Deltic timberlands for $11000 per acre. Shifting to financial items, which are summarized on slide 12, we ended the quarter with $98 million of cash. We used $15 million of cash to repurchase 407,000 of our shares in the quarter. The average price was $37 per share. Our dividend remains well covered, excluding Deltic merger costs, taxes on the MDF sale and the voluntary pension contribution that we made in the third quarter of 2018, our payout ratio was about 70% on an LTM basis. Capital expenditures were $18.4 million in the second quarter. Note that this amount includes $2.7 million of real estate development expenditures, which were included in cash from operations in our cash flow statement. We continue to expect that total capital expenditures, including real estate development will be in the range of $65 million to $70 million for 2019. I'll now provide some high level outlook comments. The details are presented on slide 13. Harvest volumes in the North are expected to be seasonally higher in the third quarter compared to the second quarter. We expect Northern sawlog prices to increase about 10% in the third quarter due both to slightly higher prices on indexed volume and seasonally wider logs. Harvest volumes in the South are expected to increase significantly in the third quarter assuming dryer conditions. We expect Southern sawlog prices to be flat sequentially. We expect average third quarter lumber prices to also be flat compared to the second quarter, and we expect to ship 280 million to 295 million board feet of lumber in the third quarter. Shifting to Real Estate our expectations for the third quarter are presented on slide 13. For the year, we now expect to sell approximately 23,000 acres of rural land at an average price of $2,000 per acre. Rural land basis is estimated to be 15% to 20% of sales for the year. There are no changes to the development real estate expectations that we discussed on the fourth quarter of 2018 earnings call. Regarding income taxes, we estimate a consolidated rate of 5% to 10% for the full year. This is down from the 20% that we discussed on the fourth quarter earnings call due to lower Wood Products earnings. Overall, we expect third quarter adjusted EBITDDA to be slightly higher than second quarter adjusted EBITDDA. A seasonal increase in harvest volumes and higher lumber shipments are expected to offset the absence of the two large rural transactions that we closed in the second quarter. That concludes our prepared remarks. Michelle, I'd now like to open the call to Q&A.
Operator: [Operator Instructions] Your first question comes from Collin Mings from Raymond James. Your line is open.
Collin Mings: Thanks. Good morning guys.
Mike Covey: Good morning.
Eric Cremers: Good morning.
Collin Mings: First question from me just, can you discuss the fire risk and potential impact on harvest activity in Idaho? It looks like you've banned campfires and sort of open burning on your land there recently.
Eric Cremers: Yeah, Collin. This is Eric. We have had a couple of small fires. I think so far this summer we've had a total of three, all very small number of acres burned up one to 10 more or less small young plantation type trees. So, really no value impact whatsoever. I would tell you that fire conditions in Idaho because we got some rainfall in June, we describe them as moderate. But if you read the news, there's drought like conditions overall in the West side, where things are much drier and the fire risk is much greater. So I think generally we're in a pretty good shape here, but there are other areas that are under a little bit more stress.
Collin Mings: Okay. That's helpful detail. Just sticking with timberlands and kind of trying to reconcile some of the comments in the prepared remarks. I think last quarter you were still optimistic the cotton picking harvest cost at 6.1 million tons this year. Given just again prepared remarks you indicated that you expect to make up some of the 2Q volume in 3Q. But just given weather and some other factors year-to-date just where do expect full year harvest volumes to shake out?
Eric Cremers: Yeah, we're still targeting that 6 million to 6.1 million ton range. There is no doubt that Q3 and Q4 are going to be a challenge for us particularly in the South, where we are running about 100,000 tons behind our plan. But we've got a good team down there and we've got plans in place and we expect to hit our harvest targets for the year.
Collin Mings: Okay. And then, switching to Wood Products. Can you just maybe touch exactly where lumber realization stands here one month into the quarter relative to 2Q? I know, in the guidance you're expecting flat, but maybe just touch on where that fits for you currently, just given the timing of shipments and things been always completely tie with what's happening in Random Lengths?
Eric Cremers: Yes. I would say, quarter-to-date, we're roughly flat compared to where were, Q2 maybe down just a touch. We've still got two months left in the quarter. But our expectation is for prices to finish the quarter on average about where we wound up finishing up Q2. Our expectation is that things move higher as we get out into Q4 when a lot of those curtailment announcements up in BC start to take effect and, hopefully, we see higher demand for lumber. We're encouraged by the increasing orders we're seeing from some of the homebuilders. So, hopefully, we see higher prices as we get into the fourth quarter.
Collin Mings: Okay. Appreciate the detail there. And then just one last one and I'll turn it over. Just on the balance sheet, just -- Jerry, any updated thoughts around the $40 million of debt maturing this year and plans for that?
Jerry Richards: Yes. So what you're referring to, Collin, is we have $40 million that matures December 1. And that will be a Board decision in terms of whether to refinance or pay it off. We certainly have the flexibility to do either. Having said that, rates, obviously on the long end of the curve, have gotten even more attractive than to refinance the $150 million earlier this year. In fact, they're probably down about 50 basis points as we sit here today for 10-year money. So needless to say, I think, a refinance looks attractive, particularly given some of the other priorities we have on capital allocation front.
Collin Mings: Understood. Appreciate all the color. I'll turn it over. Thank you.
Jerry Richards: Thanks.
Operator: The next question comes from Ketan Mamtora from BMO Capital Markets. Your line is open.
Ketan Mamtora: Hi. Good morning everyone. First question, on Southern log prices you guys actually outperformed the broad market as reported in TimberMart-South. Can you talk about kind of what you guys saw and what drove the strength? And then, along those lines have you started to see prices ease, or is your expectation that as you move through the quarter into Q4, we will see prices start to ease?
Eric Cremers: Yes. So, couple of different things here. One is we are starting to see prices ease as we move into the back half of the year. We don't think we're going to give all of it up in Q3. We'll give up some of that and by Q4 we're back to kind of normalized Southern Yellow Pine sawlog prices in the, call it, $41, $42 a ton kind of range. In response to your earlier question, yes, we're always going to be a little bit different than TimberMart-South. TimberMart-South is, by and large, stumpage deals that are not inclusive of log and haul costs. So -- and there are also future transactions that wood hasn't yet been cut and delivered, whereas what we report is what is cut and delivered in the quarter. So there's always going to be small anomalies between us and TimberMart-South.
Mike Covey: Ketan, I'd also -- this is Mike, I'd also add that Arkansas probably is the state that was most impacted by extraordinarily wet weather in all of the South in the market. We didn't see much market change in Alabama or Mississippi. All of it was in Arkansas, where logging conditions were really poor and many, many mills were out of logs. So I think it's expected that we saw a bigger jump in Arkansas than we did elsewhere.
Ketan Mamtora: Got it. That's helpful color, Eric and Mike. And then, as we move from Q2 to Q3, Eric, how does the hardwood mix change in the South?
Eric Cremers: Well, the hardwood mix goes up as we move into Q3 and Q4. We have very little hardwood production in Q1 and Q2 anywhere from 0% to 2% more or less, particularly when you are in a really wet year like this year. But our expectation is that, we get up to 8%, 9%, say, in Q3 and Q4, which, on balance, is where we need to be to hit our harvest plans.
Ketan Mamtora: Got it. So in your expectation for Q3 being flat in the South, that does take into account the higher hardwood mix. Is that fair?
Eric Cremers: Yes, that's correct.
Ketan Mamtora: Got it.
Eric Cremers: Some of that higher hardwood mix is going to offset the decline that we're seeing in Southern Yellow Pine.
Ketan Mamtora: Got it. That's helpful. And then, on the lumber side, the projects that you all did in Q2, can you all quantify how much that increased your lumber capacity?
Eric Cremers: Well, the project that we did in Q2 was not a capacity expansion project. It was an auto grader. So it's a machine that grades the lumber automatically as opposed to manually. So that really is a great yield improvement and labor-reduction project.
Ketan Mamtora: I see. Got it. And then just one last question from my side. We are hearing some reports of higher mortality rates in the seedlings that were planted in the South in 2018 and 2019. Have you guys seen any of that if -- you all can confirm if that actually is accurate? And then if that's the case does it mean kind of higher replanting expenses as we look out the next couple of years?
Eric Cremers: Yes, Ketan, I have not heard any of that on our ground. Certainly, if it did happen it would be higher replanting expenses going forward but I'm not familiar with any of that on our ground.
Ketan Mamtora: Got it. Understood. That’s very helpful. Good luck in the back half of the year.
Eric Cremers: Thanks.
Operator: Your next question comes from John Babcock from Bank of America Merrill Lynch. Your line is open.
John Babcock: Hi. Good morning and afternoon. Just wanted to start out, I was wondering if you could quantify the tonnage impact, I guess, from the downtime you had during the quarter?
Eric Cremers: The tonnage impact from the down -- are you talking about in the sawmills or you...
John Babcock: Yes, exactly. Sorry, at the sawmills.
Eric Cremers: Well, we under-shipped in the quarter for sure. I think we went up – something 273 million feet. Our plan was 280 to 295. We have plans to get to the midpoint of that range. What winds up happening when you get into really challenging market conditions is when you have operational interruptions like we lost power, we ran out of logs, we had capital project that ran longer to get us -- to get it installed than we had planned. Usually we can make up those shortfalls by running incremental overtime days, but given the weak market conditions that we faced in Q2, and particularly in June, running overtime was not warranted. But I guess to answer your question in general it was probably around 10 million to 12 million feet.
John Babcock: Got it. And so that -- was there -- just to kind of confirm was there much economic downtime in there necessarily, or was it really just not running pull out to play catch-up essentially?
Eric Cremers: No, really it was not economic for us to run harder. We could have made up the volume had we chosen to -- if we could have gotten logs. But given how low prices were you saw we took inventory write-down in the quarter given how low prices were it just didn't make sense to produce incremental volume at a loss.
Mike Covey: But John we didn't take any market-related downtime during the quarter.
John Babcock: Yes. Thank you. And then next question -- also on the lumber side, I was wondering if you could talk about how demand is so far in 3Q? And I mean you talked about some of the homebuilder reports but I wanted to get a sense for whether you're seeing any improvement in orders so far this quarter?
Eric Cremers: I see it's kind of -- we're kind of limping along the bottom. It's kind of our field. Industry capacity utilization is in the 86%, 87% kind of range and there are no transportation issues to be found whether in rail or in trucking, which means if you are a dealer somewhere, wholesaler or a builder you can get wood delivered pretty quickly. So our sense is that field inventories are low on one hand which is kind of -- would be good news but on the other hand they can live kind of hand-to-mouth in this environment. So we're not really seeing a big pickup in demand right now. But our hope is that as we get out further into Q3 and Q4 our expectation frankly is that with these order files building for the homebuilders and with this capacity curtailments announced up in BC that things will begin to improve.
John Babcock: And then just last question. I was just wondering, if you could confirm what you guys are forecasting for the land basis for the full year for real estate?
Mike Covey: Yes. So that was in the slides John, but for the full year let me -- bear with me here we are 15% to 20% of sales for rural land.
John Babcock: Okay. Thank you. That’s all I have.
Operator: Your next question comes from Steven Chercover from D.A. Davidson. Your line is open.
Steven Chercover: Thanks. Good morning, everyone. So just wanted to first reconcile one thing you just said that you believe that field inventories are relatively low for lumber, but I also believe you said that it will take probably till the end of the third quarter for the downtime and curtailments to work its way through the snake though. Do you expect to see actual tension in the market perhaps by fourth quarter?
Eric Cremers: Yes, I think by the fourth quarter you'll start to see it Steve probably September. I mean most of those announcements on those curtailments and closures they don't really kick in until September and October. So you almost have the exact opposite thing right now happening, which is those mills up in BC are liquidating inventory. They're blown through their log decks and playing everything they've got and they're trying to get rid of it, right. They are trying to liquidate their working capital. But we think as you get out in the September and October time frame that capacity will come off the market and that should be beneficial.
Steve Chercover: Yeah that's what I understood is that they are basically liquidating the inventory and I was just wondering how that really reconciled with low field inventories, but I suppose that could also be a regional situation?
Mike Covey: Yes.
Steve Chercover: Okay. Well, switching gears while just rebid, I assume that unless we have a massive Q3 correction, we’re not going to see another inventory write-down on the lumber side?
Jerry Richards: Yeah. Steve when it comes to inventory write-downs, I mean that's something that we really can't predict or forecast. It's the accounting that happens at the end of the quarter. But given our view that market conditions and prices should be in a position where they are improving I would think the odds of that happening are lower.
Mike Covey: And our manufacturing costs should be lower in third quarter as well.
Eric Cremers: Yeah we'll have much higher production volumes, much higher shipments to absorb the fixed costs. And I think if we had -- if prices stay the same, we would in all likelihood not have a write-down.
Steve Chercover: When you come to think of it, it is kind of interesting that you had the write-down because many of the curtailments were announced in early June that put a bit underneath lumber at least for the end of the quarter?
Jerry Richards: That's true for Western. It's not for Southern mill.
Steve Chercover: Got it. Okay, that's the difference.
Eric Cremers: Yeah, it had -- and Steve it had these low prices occurred in April or May and prices come up from them. We probably wouldn't be having this write-down. It's just that June happened to be the very low point and we have to do the LCM test at the end of the quarter. So, we kind of got burdened by -- I think lots of other manufacturers got burned too. That was the low point for the year.
Steve Chercover: Got it. So, yeah, I know really, I should have just thought it's more of a southern phenomenon. And then now I am switching gears. Forgive me if I should know this, but when you're selling the Deltic timberlands for $11,000 an acre and I think you said about $7,000 since the merger, it makes it sound like its more HBU land than Timberland. Is it due to extraordinary stocking levels or proximity to the Chenal Valley, or what other attribute could make this land value three to five times average southern land?
Eric Cremers: Well, if you go back to the merger Steve, Deltic really didn't have an aggressive HBU rural estate program. And the acres that we’re talking about here is $7,000 per acre on average. Those are relatively proximate to Little Rock. So these are not far off, nonstrategic timberlands so to speak. This is stuff that's relatively close to major Metropolitan area. And I think that's what by and large is driving that value.
Mike Covey: It is not that it's extraordinary timberland that somebody is buying to manage for that purposes. It's rural land that's fairly poorly stocked with average growing sides that are below average and people want to buy it for alternative uses, whether it's hunting or fishing or recreation and because it's between 30 minutes and 45 minutes from Downtown Little Rock that drives surprise.
Steve Chercover: Okay. So it's really HBU for all enhancing purposes, although it's just stratified as garden variety timberland?
Mike Covey: No, we stratified 57,000 acres west of Little Rock as land that would be -- have an HBU characteristics, not all of it's going to sell for $7,000 an acre but we all felt it -- we felt it would sell-through somewhere between five and seven times, it's underlying timberland value and that's what we continue to do.
Steve Chercover: Great. And I don't know if there was ever any strategic review of the Chenal Valley development, but does that remain a core part of your portfolio, or are you glad to have it in the family?
Mike Covey: Well, we have never been in the real estate development business in terms of developing lots and selling residential lots to homebuilders to build homes and managing two golf courses. That is not core to our business. Having said that, we've evaluated whether or not it makes sense to sell the property to somebody else or to continue to manage it and we think that it's fairly low risk to own it and manage it ourselves and develop the lots and sell them at attractive prices. And the capital that we’re putting into them continues to recycle and provide adequate returns. So I think we do it as a core business today.
Steve Chercover: Thank you.
Operator: Your next question comes from Mark Weintraub from Seaport Global. Your line is open.
Mark Weintraub: Thank you. First just following up a little bit on the lands west of Little Rock, so you mentioned you had identified 57,000 acres and I guess at this point, this year I think you said you told 4,200 or so of those acres I assume of the 57,000. Is it right to understand that you got a little over 50,000 left?
Eric Cremers: Yes. So what Mike referred to when he said 57,000 acres Mark was that is the stratification that was done on the 530,000 acres that we picked up from Deltic. Of that 57,000 acres, roughly 11,000 was put into the HBU bucket, roughly 17,000 was put into recreational real estate and 29,000 was put into nonstrategic timberlands, so each of those are going to have a different value attribute going forward. So we have sold year-to-date -- excuse me not year-to-date, but since the merger is closed, we've sold 4,200 of those acres. And those acres fall into those different -- those three different buckets that I just referenced.
Mark Weintraub: Okay. And so would it be fair that the 1,800 had been in the HBU that 11000 bucket curiosity?
Eric Cremers: Actually, I think that was not part of the stratification. So that was actually somebody approached us. So here is timberland that we thought nobody would want from an HBU standpoint and they approached us and made us a very attractive offer. So it kind of surprised us. So we did not come out of the 57,000 acres that I referenced.
Mark Weintraub: Okay. And just to make sure I understand more clearly, so how much of -- how much acreage do you have now that would be in the vicinity of the -- of that 1,800 acre parcel basically the stuff west of Little Rock?
Eric Cremers: We have a lot. It is measured in maybe 15,000 acres of west of Little Rock.
Mark Weintraub: Okay. And a portion of that then would be -- well maybe let me come at it a bit differently. So you got a pleasant surprise here with somebody coming up with these lands. I mean as you've been sitting with ownership of these properties for however long now are you reassessing the potential in an optimistic fashion perhaps given the interest that you have seen, or would that be early to make a judgment like that?
Eric Cremers: Yes. I think we've been very pleasantly surprised by the real estate opportunity that we have -- we found here with Deltic. We are always looking at our acres and thinking about restratifying. These were acres that we didn't even think have real HBU potential yet. We were approached shortly after the merger closed and it took us one year 1.5 years to get the deal done, but it surprised us. With that said, the highest pent-up demand will be right after the merger closed because all of a sudden, the buyers recognized that there is a willing seller. There hadn't been a willing seller previously. So, there's puts and takes there. But to characterize it, I would say we're very pleased with what we are seeing.
Mark Weintraub: Okay. Shifting gears real quickly. On CapEx, I believe the original guidance had been $65 million, $70 million you haven't spent a whole lot to the first half of the year. Is that original number still the right number, or might it come in somewhat lower?
Jerry Richards: Yes the original number is still the right number, Mark. So, we still expect it's going to be between $65 million and $70 million for the year.
Mark Weintraub: Okay. Any chance if you can get a little bit of additional help on the Northern sawlog pricing for the third quarter? I know you indicated the index, log should be higher but any sense of magnitude that you could provide?
Eric Cremers: Yes. So as you know, there's really going to be -- there are two different components really that drive that sawlog price. There is always the weight density issue. That's going to favorably improve prices roughly 6% to 7% quarter-over-quarter. And we think the change in lumber prices Q3 to Q2 our view is that Western lumber prices will move higher roughly 3% of that price increase for sawlogs.
Mark Weintraub: Okay. Great. Thank you. And then lastly, just be interested in a retrospective coming out of the last quarter, you obviously had as many of us are more optimistic perspective on what would happen to lumber pricing. What would you think happened that it proved to be significantly lower than where you had at least three months ago thought it might play out?
Eric Cremers: I think there's a couple of different factors there. Number one is housing has disappointed year-to-date. Now is that because builders building affordable houses or is that due to excessive amount of rainfall that we saw in the first half of the year which was unprecedented? We think it was largely due to the rainfall and now that's behind us and interest rates and mortgage rates have really rolled over, 100 basis points or so in the last six to eight months, we are starting to see demand come back into the housing market and you're seeing that with these new orders from the builders. I mean whether you're talking about Pulte, DR Horton, KB Homes, Lennar, MDC, Meritage they are posting sharply improved quarters moving into the back half of the year. So, we think housing is coming back, but that lack of demand in the first half of the year with higher rates coupled with the unprecedented rainfall really kept demand for lumber down and hence prices.
Mark Weintraub: Okay. Thank you. Was there -- would you say there was a more inventory in the channel than you had thought as well or is that not necessarily playing a significant role?
Eric Cremers: Every time we talked to our sales folks about inventories in the system what we hear is that inventories are low and we think they are going to as long as there are no transportation challenges inventories in the system are going to remain at relatively low levels. These dealers, these builders they can live hand-to-mouth with their order files. And so they're going to just run with low levels of inventory from here on out.
Mark Weintraub: Okay. Thank you.
Mike Covey: And Mark there has been no supply concerns really in the marketplace this year with people worried about wildfires or the crazy weather events such as it hasn't been on the supply side. So, people unable to get what they need when just pick up the phone and hence prices have stayed flat.
Mark Weintraub: Thank you.
Operator: Your next question comes from Chip Dillon from Vertical Research. Your line is open.
Chip Dillon: Yes. Good morning. Appreciate all the comments Mike and Jerry, very helpful. First question is looking at the full year guide, it looks like on the real estate, it's going to end up being around $60 million in total. And you do -- you kind of inferred that the lot sales will also be $50 million give or take in the fourth quarter like it is in the third. Is the fourth quarter basis in average price guidance the same as what you have on Slide 13 for the third quarter or how could it vary if at all?
Mike Covey: So, real quick Chip, I mean both basis should stay around 80% of sales for lot sales. And in terms of kind of the average price, again, we had guided that in Q4 and that should be I think it was around 80,000 if I remember for per lot.
Chip Dillon: Okay got it. All right. And then -- you said 80,000, which will be down from 90,000 in the third, if I heard you right?
Mike Covey: Correct.
Chip Dillon: Okay. And then looking at the future, I mean, you came into this year just more or less guiding to something in the 40 range, low 40s and again you're going to hit $60 million and I know that there was a big sale. I think it was exactly how big, but the $20 million sale that you noted almost $20 million. What should be a good placeholder for 2020 and 2021? Should it revert back down to that $40 million per year range or would that be sort of the low end of what you would expect?
Jerry Richards: Yes. It's way too early for us, Chip, to give guidance beyond 2019. We typically would give you a 2020 when we do the fourth quarter call. So, we'll defer to that.
Chip Dillon: Okay. And then how about as we -- you're very clear about saying that you felt your stock was a better investment in timberlands at this point. How about -- are there any thoughts of expanding your Wood Products' footprint? I know you just recently exited MDF, but you do have a well-capitalized lumber business and you certainly are -- in recent years have put a decent amount of CapEx in those mills. Is that an area you'd want to see some expansion in terms of the future for Potlatch?
Mike Covey: Not after the quarter we just had. No. I guess more--
Chip Dillon: Good answer. But on that if you could talk a little bit also about the CapEx as well. Is it going to stay in that 65%, 70% range in future years?
Mike Covey: No, it will roll over a bit. We had a number of really attractive higher return projects to do, especially in our Southern Yellow Pine mills, to play a little bit of a catch-up frankly on kind of modernizing equipment infrastructure. And one of the mills that came into the Deltic merger, the Waldo mill is an exceptionally good mill. It continues to provide really attractive returns. We want to invest in that. We'll continue to expand capacity with the infrastructure that we have. And we can do that with capital investments and grow our output a few percentage points each year. We don't have any points at this point to add more mill capacity on a standalone basis.
Chip Dillon: Okay. And then finally, you're guiding to about $10 million in corporate expense in third quarter. I assume that, it is sort of assuming no change in the stock price and – so is that sort of a good place to go forward like $40 million annually and then if worth not let me know that? And then what's again the rule of thumb of how we should think about how that number moves around with stock price?
Jerry Richards: Yeah. So, $10 million a quarter Chip or $40 million for the year is kind of a normal day's run rate that will be a kind of clean number, if you will without noise. Stock price doesn't have a real big effect. It used to in years passed, before we changed structure of some of our equity-based awards that were in place in the past. So it's not – you might see corporate you kind of see in the range, it might bounce around on a rounded basis between nine and slightly above 10.
Chip Dillon: Okay. Got you. All right. Thank you.
Operator: The next question comes from Paul Quinn from RBC Capital Markets. Your line is open.
Paul Quinn: Yeah. Thanks very much. Good morning, guys.
Jerry Richards: Good morning.
Mike Covey: Good morning
Paul Quinn: Just said – just a follow-up on this CapEx it looks like you've reiterated guidance, but just trying to understand that downtime taken on the Wood Products side was it only the auto grader that came in, in Q2. I am just trying to understand that $2.9 million increase in cost whether that's a one-timer or you expect that in the back half of the year with the rest of the CapEx spend?
Eric Cremers: Yeah. So the only project that went in – that got installed in Q2 was the auto grader. We do have a handful of other projects that are going in, in Q3 and Q4. But we don't expect to lose any production with those installs.
Paul Quinn: Okay. And then, I think Mike you commented that not too interested in growing the Wood Products business given the quarter. Just wondering, what you are seeing just on the M&A side I mean you are out in the business whether you have seen any kind of appreciable drop in kind of ask for sawmills out there right now? I mean, everybody probably – everybody in the quarter had difficulty. So have you seen a drop in what people are looking for their mills?
Mike Covey: We don't have any market evidence to substantiate anything. I mean, if mills trade at four to six times EBITDDA or they trade at $300,000 to $500,000 on capacity I suspect that the EBITDDA drag is going to bring valuations down a bit but we're not in the market to be able to comment on that.
Paul Quinn: Okay. And then just flipping over to the timber side, it seems like couple of years now if not three, that the amount of Timberland transactions in the marketplace are very light. Just whether you've seen any change in that? Whether you've seen any change in values? And does it – is it different between different regions in the U.S.?
Mike Covey: Well, the valuation part of it, certainly, has – hasn't gone down. In fact, the small transactions that have taken place some of them have been really strong numbers, but these are for transactions that are in the 30,000 to 50,000 acre range. There's been a couple in the South, one in the West that had been really, really strong. But there's just as much on the market. It's very quiet. There doesn't seem to be a lot of dollars chasing the market and then there aren't a lot of people that are selling in this environment. So it's kind of steady as she goes, but valuation seemed to be holding up.
Paul Quinn: Okay. And then I guess lastly for Jerry that refinance potential for the $40 million, if you refinance that what's the potential saving?
Jerry Richards: Yeah, you are talking – I mean, like I said, we are going to offer today's rate quote, Paul but that could be anywhere from $0.5 million to $1 million a year.
Paul Quinn: Okay. Great. That's all I had. Thanks, guys.
Jerry Richards: Thank you.
Operator: The next question would come from Ketan Mamtora from BMO Capital Markets. Your line is open,
Ketan Mamtora: Just a follow on. Eric, can you provide any update on what you are seeing in the cedar markets. If I remember correctly, last quarter you had talked about pricing moving up as we move into the back half of the year?
Eric Cremers: Yes. In fact – Ketan, good question. We are in fact -- cedar prices are moving up. We feel like it bottom being Q2 and they are starting to move up in Q3. We have long ways to go to get to where they were a year or two ago, but we do feel like they bottomed and they are moving higher.
Ketan Mamtora: Got it. Is there a way to quantify even on a Q2 base where prices were relative to last year second quarter?
Eric Cremers: I'm going to dig that data out Ketan. I don't know but I can just produce that off top of my head.
Jerry Richards: That's one Ketan. When we talk later I can follow up with details.
Ketan Mamtora: That's fine. Okay. And then just last question. Can you talk a little bit about what you are seeing in the repair and remodeling market? It seems like we are hearing from different reports, some suggesting that the market is probably not as strong. From what you are seeing, can you talk about how that market is doing?
Eric Cremers: Yes. I have been -- we've been following those reports Ketan about R&R markets falling off here, largely driven by that Harvard's Joint Center for Housing studies report. And frankly, we don't see it in our own business and anecdotally I don't see it, I don't feel it. Our box business is up roughly 6% year-over-year. Some of that is introducing new products to Lennars and others that we have previously. But some of that is just due to their business growing. And if we just look at Home Depot and Lowe's comps which are really good proxies for the R&R market, they are up 3% 4% that kind of thing. I just read a Ivy Zelman report. She does a really good job, her firm covering housing in variety of different ways. And she really challenges that Harvard's Joint Studies – Harvard Joint Center for Housing studies report and her view -- her firm's view is that, R&R markets are going to move up 3% to 4% over the next year too. So I'm not sure where we're aligned necessarily with that Harvard report.
Ketan Mamtora: Got it, but that’s really helpful. I really appreciate it. Good luck in the back half of the year.
Eric Cremers: Thanks.
Operator: At this time, I am showing there are no more questions in the queue. I will now turn the call back over to Jerry Richards for closing remarks.
Jerry Richards: All right. Thank you, Michelle. And I also want to thank everybody for your interest in PotlatchDeltic and taking time to participate on the call this morning. Be available for any detailed modeling questions and hope everybody has a great day.
Operator: Thank you, everyone. This will conclude today's conference call. You may now disconnect.